Operator: Ladies and gentlemen, thank you for standing by, and welcome to Global Payments' Second Quarter 2025 Earnings Conference Call. [Operator Instructions] And as a reminder, today's conference will be recorded. At this time, I would like to turn the conference over to your host, Senior Vice President, Investor Relations, Winnie Smith. Please go ahead.
Winnie Smith: Good morning, and welcome to Global Payments Second Quarter 2025 Conference Call. Our earnings release and the slides that accompany this call can be found on the Investor Relations area of our website at www.globalpayments.com. Before we begin, I'd like to remind you that some of the comments made by management during today's conference call contain forward-looking statements about, among other matters, expected operating and financial results. These statements are subject to risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by such forward- looking statements. For additional information on these factors, please refer to our press release and filings with the SEC. We caution you not to place undue reliance on these statements. Forward-looking statements during this call speak only as of the date of this call, and we undertake no obligation to update them. We will also be referring to several non-GAAP financial measures, which we believe are more reflective of our ongoing performance. For a full reconciliation of the non-GAAP financial measures discussed on this call to the most comparable GAAP measure in accordance with SEC regulations, please see our press release furnished as an exhibit to our Form 8-K filed this morning and our supplemental material available on the Investor Relations section of our website. Joining me on the call is our CEO, Cameron Bready; our President and COO, Bob Cortopassi; and our CFO, Josh Whipple. Now I'll turn the call over to Cameron.
Cameron M. Bready: Thanks, Winnie. Good morning, and thank you for joining us today. I'm excited to have the opportunity to share with you the progress we have made across the business over the last few months. Not only did we deliver solid results that were modestly better than our expectations, but we did so in a quarter when we announced a significant step to reposition our business with the acquisition of Worldpay and divestiture of Issuer Solutions. Transactions that represent a unique opportunity to catalyze our transformation in a more significant way and streamline our business to accelerate longer-term growth and value creation. We also continue to make substantial progress against our operational transformation program that is focused on streamlining and unifying our business globally. While creating meaningful benefits that provide us with incremental capacity for reinvestment to drive growth and run a better business. This quarter, we successfully launched our Genius platform and completed the rollout of our revamped sales compensation plan across our U.S. sales teams as part of our sales force of the future initiative. Our transformation initiatives are enhancing the commercial effectiveness of the business and enabling us to unlock greater operating income benefits than originally forecasted. Further, in our ongoing commitment to simplifying the business, we recently announced the sale of our payroll business for a total consideration of $1.1 billion, allowing for $500 million of additional shareholder returns through the accelerated share repurchase program we announced today. And lastly, we are already planning ahead for the close of the Worldpay transaction next year and have initiated our integration planning and established critical work streams that will support a successful integration and allow us to begin unlocking the tremendous value embedded in the transaction. Turning to our second quarter results. We are very pleased with our performance, particularly in light of the significant positive change we are currently driving in our organization through our transformation. And while the macro environment continues to be fluid and consumer sentiment remains somewhat muted, spending has been relatively resilient with trends fairly stable through the period. For the quarter, we reported 5% constant currency adjusted net revenue growth, excluding dispositions, 130 basis points of margin expansion and 11% constant currency adjusted EPS growth compared to the same period in 2024. These results highlight not only the resilience of our business model but also our team's ability to execute at scale and advance a significant number of key initiatives while remaining focused on delivering business outcomes. In our Merchant business, we achieved a number of notable wins and delivered healthy and consistent growth across the 3 pillars of our strategy in line with our expectations and outlook. Beginning with POS and software, we successfully launched Genius for restaurants and Genius for retail this quarter, delivering on the time line we committed to at the beginning of the year. The launch of Genius marks an important milestone in our journey to streamline our solutions, unifying all the global payments point- of-sale products into an intuitive and highly configurable new platform while establishing a stronger and more recognizable brand in the market. Our Genius product family is more than simply a marketplace of point solutions. It's a fully integrated and seamless set of capabilities that can be deployed to clients of varying sizes through our modern, scalable cloud-based software. Our solutions are designed with a clean interface, fast checkouts and native workflows without the need and reliance on third-party systems. Genius meets the needs of small businesses while also delivering enterprise-grade reliability for large chains and complex environments. And we couple our complete commerce enablement solutions with distinctive distribution and full local service and support that is unrivaled in the market. While early days, we are delighted with the initial momentum we are seeing with Genius. Feedback has been overwhelmingly positive with customers highlighting Genius for its ease of use, intuitive design, convenience and enhanced customer experience. And sellers and dealers are excited about Genius' easy setup speed, flexible and competitive pricing and increased functionality, allowing them to target a more diverse set of merchants to accelerate sales. Our Genius for restaurants platform launched in late May at the National Restaurant Association Show in Chicago. In the month of June, post the rollout, new restaurant growth accelerated in the mid-teens sequentially compared to April and May with that momentum continuing in July. We've also seen early success in our wholesale channel, where monthly net new additions have already doubled since launch as we leverage the full power of our distribution platform to bring our best capabilities to market. Our Genius retail platform, which officially launched in June has seen strong early demand as well with record sales in our U.S. direct channel, which delivered 37% growth from the prior year period. This momentum from retail customers also continued through July. Additionally, we have now integrated our market-leading soft cloud solution with Genius to provide a holistic end-to-end offering under the Genius family including tap to pay functionality. And we have launched this solution into 13 EU markets, including our most recent iOS launch in Spain, which makes us the first acquirer in the market to enable merchants to accept payments directly through their Apple devices. Unlike many of our competitors, we have a significant opportunity to continue expanding Genius in international geographies and to capitalize on the strong secular growth trends and POS demands in regions like Europe, given our established local presence and significant distribution capabilities in these markets today. This is one of the most exciting aspects of the Genius growth story. Looking ahead, we will officially introduce the Genius enterprise restaurant solution next month. But in the interim, we continue to see momentum with both enterprise restaurant chains and sports and entertainment venues. This quarter, we successfully completed the rollout of our POS and kitchen management solutions to over 1,000 A&W Restaurant locations in Canada and achieved a new partnership with one of the fastest-growing coffee franchises in the U.S. which will also leverage our point-of-sale and kitchen management offerings in addition to payments across locations beginning this quarter. And we were recently selected as a payments technology provider for food and beverage as part of a multiyear partnership with the Minnesota Twins and Target Field, and extended our relationship for a multiyear period with the Dallas Cowboys and AT&T Stadium. During the period, we also achieved stadium and venue partnerships with the Tampa Bay Lightning, and two Premier League football clubs in the U.K. Our proven ability to deliver innovative solutions that enhance speed efficiency and the overall fan experience in large-scale high- traffic environments, has positioned us as the partner of choice for approximately 160 stadiums and venues around the world. Moving to our education business. We signed a number of key wins this quarter, including new partnerships in the U.S. with Methodist University and the University of Science and Arts of Oklahoma and a new agreement with Technological University in Dublin. I would note that we have now signed 16 partnerships with universities across the U.K. and Ireland since expanding into this market a little over a year ago. Our education business continues to be an area of innovation for us as well. This fall, we are introducing a new AI tool in support of cafeteria programs for school customers. The solution builds and optimizes menus, factoring in complex requirements such as nutrition guidelines, labor availability, food costs and inventory. With this tool, our customers will be able to unlock significant efficiency benefits while improving food quality and offerings. In the real estate vertical, we signed a multiyear extension with our largest partner and are excited about the opportunity to expand our relationship to include additional products. In both our communities and real estate vertical market software solutions delivered impressive bookings for the second quarter, with expected annual revenue from new sales increasing 30% and 20%, respectively, compared to the prior year period. Turning to our integrated embedded business. I am pleased to highlight that software partner signings remain strong, in particular in our international markets around the world. In fact, international signings are up more than 30% over the last 6 months compared to the prior year period, and we continue to have a strong pipeline across the United Kingdom, Asia, Australia and LatAm, as we benefit from rather aligning our activities and capabilities globally. As for our core payments business, our focus on forming deeper relationships with commerce enablement and outstanding service is driving significant opportunities with both new and existing partners globally. I'm pleased to note that we recently renewed our strategic partnership with Banamex’ to bring leading software and payment solutions to the full spectrum of merchants in Mexico for a multiyear period. Mexico has strong secular trends and Banamex’ is the right partner given its reach and scale. We look forward to continuing to deliver best-in-class commerce solutions together in Mexico. We achieved a number of notable wins in several key fast growth geographies in Europe this quarter, including Carefor, IKEA, Intermarche and BRIO, Comarch in Poland. As well as with appliance leader Expert Hellas and Bazaar supermarkets in Greece. We also acquired two small product companies at the end of the quarter. These buy versus build opportunities allow us to quickly improve our offerings, bring innovative technology to market more rapidly, control the development road map, reduce costs and streamline our infrastructure while also enhancing subject matter expertise and talent. The first is a Hong Kong-based software partner that meaningfully enhances our QR code in digital wallet capabilities. This technology allows us to expand our current capabilities, providing for a more seamless integration with partners like Alipay, WeChat Pay, Octopus and PayMe and greater control over the client experience and development road map in support of a full spectrum of merchants, including enterprise clients in APAC and beyond. The second is a small cloud technology partner that bolsters our existing capabilities across the dispute management life cycle. This acquisition allows us to provide a more complete end-to-end support to our customers during the chargeback process on a global basis with a better interface and client experience while demising legacy technology supporting these solutions today. Turning to Issuer Solutions. We delivered solid financial performance consistent with our expectations for the quarter. This was largely driven by continued growth in accounts on file as well as stable underlying transaction volume trends. Year-to-date, we have successfully converted over 15 million accounts, allowing us to end the second quarter with traditional accounts on file of more than 900 million. We continue to have a strong pipeline of new business that extends into 2027 as well as 4 letters of intent with institutions worldwide. Further, we recently renewed several customer agreements, including our consumer partnership with President [indiscernible] and commercial relationships with U.S. Bank, HSBC, and another leading multinational financial institution based in Continental Europe. We also continue to make steady progress on our modernization program with multiple pilots in validation and approaching completion. Importantly, we achieved general availability for our first fully modernized cloud application during the second quarter, and we remain on track for full commercial launch of all customer-facing applications by the end of the year. As I noted, while producing these results, we are also making significant progress on our transformation agenda. We continue to expect a meaningful amount of our transformation work to be complete by the end of this year, and are actually accelerating roughly 10% of our initiatives initially planned for 2026 to better position us to quickly and efficiently integrate Worldpay at close. Josh will provide more detail, but as a result of the milestones we appeased today, we are raising the value of the operating income benefit we expect from our transformation initiatives in our merchant business and support functions by nearly 20%. As part of our transformation journey, we are also continuing to focus on streamlining and simplifying the business. As I noted in late May, we announced a definitive agreement to divest our payroll business to Acrisure. This transaction further sharpens our strategic focus and allows us to accelerate capital returns to shareholders. We expect the sale to close in the third quarter. As part of the transaction, we have entered into a mutual referral agreement and commercial partnership with Acrisure, supporting our ability to continue delivering integrated human capital management and payroll offerings to our merchant customers as part of our suite of Commerce Enablement solutions. With the payroll divestiture, we have now announced transactions to divest over $550 million of revenue, which is consistent with what we outlined at the time of our investor conference. That said, the plans we communicated in September were established well before the opportunity to acquire Worldpay materialize. As a result, we are reevaluating portfolio composition decisions we made at that time in light of the Worldpay acquisition and our expected strategic focus and vertical exposure post closing. Consistent with our approach thus far, net proceeds from any further divestitures will be returned to shareholders after ensuring leverage neutrality. We also continue our work to unlock the growth potential of our best capabilities and harmonize our go-to-market strategy across the globe. I already highlighted the successful launch of our Genius restaurant and retail solutions during the quarter in the U.S. and that we remain on track to launch our Genius enterprise restaurant solution next month. We have also begun rolling out Genius international markets, including Canada and Mexico, and will launch in the U.K. this month. Before the end of the year, we also expect to introduce Genius in Germany and Austria. And in early 2026, we will bring Genius to Ireland, Spain, the Czech Republic, followed by Romania and Poland and Australia shortly thereafter. In addition to the progress we have made in consolidating our 16 POS systems to the Unified Genius platform, we are also executing on a number of other initiatives to improve every inaction we have with our customers. Starting with how we go to market, we are making strides in transforming our sales and marketing organizations with targeted initiatives focused on each component critical to building high-performance sales teams. We are upscaling our talent across all channels and regions to better leverage modern sales methodologies and technology. We have successfully rolled out our revamped sales incentive plan across all of our U.S. sales team and we are seeing positive results, which includes increases in sales production and sales capacity, lower seller attrition rates and an improved ability to attract incremental high-quality sales talent. Notably, we successfully converted over 90% of core payment sellers to the new plan, while a significant portion of those that did not convert have transitioned to our agent model or wholesale program. Importantly, the sales professionals that have moved to the new structure have already increased their productivity, high single digits with improvements in every month. In the cohort of new sales professionals hired since January under this model have already been 10% more productive than those under the previous plan. We are also enhancing the integrated digital technologies that support our sales and marketing operations to improve efficiency, effectiveness and customer engagement. As one example, we have invested in increased marketing automation technology to drive higher conversion rates. These investments are delivering strong returns with qualified leads up 13% quarter-over- quarter, driven by improved targeting and engagement. As an example, our real-time messaging platform is now the top-performing channel for sales qualified leads. Additionally, we've made significant progress in consolidation of our over 20 CRM instances, leveraging modern infrastructure and common data platform. We're also simplifying the way we onboard merchants by establishing a single provisioning and activating process versus leveraging multiple channels across our business and geographies as we had in the past. As part of this program, we have more than doubled our automated approval rate as we now can support a wider range of customers and partner channels while also effectively managing risk and fraud. We are also making investments to build a single entry point for our customers to access the full suite of capabilities through one marketplace, enhancing our ability to cross-sell our commerce enablement solutions, including loyalty, embedded finance, data analytics and guests. To do so, we will leverage our modern real-time processing and orchestration platform we acquired last year to distribute products across channels and geographies seamlessly. To date, we have connected multiple products and are now successfully leveraging this platform across our European operations. In our integrated and embedded business, we are transforming our integration experience into an AI-led developer first platform, consolidating all developer documentation, code samples and tools into a single global platform that spans geographies, verticals and partners. This provides developers with access to a unified suite of APIs and a powerful orchestration layer capable of shifting transactions between gateways and dynamically activating value-added services, all without rewriting code. This means faster access to innovation for new and existing partners. We're helping developers to do more with less, which unlock speed, scale and simplicity across global commerce. This builds on the work we are already doing to integrate AI across our organization to drive innovation, enhance efficiency and unlock new opportunities. This includes investments in AI applications in areas such as marketing optimization, contract intelligence, customer engagement and software development, each offering promising potential to accelerate product delivery, streamline operations and elevate the way we serve our customers. We continue to see AI as a key enabler of long-term customer and shareholder value. I'm proud of what our team has accomplished across all of our transformation initiatives, which will position us to successfully integrate Worldpay in 2026. To that end, we are making solid progress on closing both the acquisition of Worldpay and divestiture of our Issuer Solutions business. This includes significant strides towards receiving the regulatory approvals required for the transactions. We have initiated the approval process with regulators in all required jurisdictions. We are particularly pleased that the transaction cleared antitrust review in the U.S. upon expiry of the HSR waiting period in July. Overall, the regulatory approval process is proceeding as expected, and we remain on track to close in the first half of 2026. Additionally, we are preparing to execute on the Worldpay integration and have identified and established all necessary work streams to ensure a seamless process. We have a proven track record of integrating large acquisitions, delivering on our time lines and exceeding our synergy goals. And we will approach the integration with Worldpay with an uncompromising plan for aligning our operating model and fully unifying our businesses for value creation. Our integration strategy will emphasize accelerating growth, enhancing our competitiveness, synergy realization and investing in innovation while also unifying the combined company under a single brand and leveraging the best talent from both organizations to build the industry's strongest team. We recently held our first integration planning kickoff, bringing together of our 100 leaders from both Global Payments and Worldpay to begin developing our integration road map. The team left energized about the future, and we are more excited today than we were at the time of the announcement about the opportunities to accelerate our transformation and long-term strategy. We are positioning the business for a seamless close, and our work to date has further increased our confidence in revenue and expense synergy expectations we outlined in April. Worldpay positions our company with unmatched global scale processing nearly $4 trillion in annual volume across 100 billion transactions and serving millions of merchants and thousands of platform and software partners globally. Importantly, the acquisition combines complementary capabilities that will make our go-to-market business stronger, more scalable, more competitive and more valuable to our clients. We are highly focused on the opportunities to accelerate growth as a combined business through a combination of expanded distribution, a more complete suite of products and solutions to serve merchants and partners of all types and sizes globally and in an ability to invest in innovation at scale. For example, we already discussed our ability to immediately sell Genius, other software and commerce enablement solutions into Worldpay's existing SMB merchant base and leverage Worldpay's existing distribution channels to bring these capabilities to market. We will also be able to further strengthen the commerce enablement solutions integrated into Genius to support the growth of our restaurants and retailers including enhancing our merchant embedded finance offerings through existing Worldpay solutions. Worldpay's Payrix platform and full PayFac capabilities augment our ability to serve software partners, marketplaces and platforms across more regions and operating products. Many of the Worldpay solutions for platforms can enhance our offerings and the experience we deliver for our software partners. Worldpay also brings world-class enterprise and e-commerce capabilities that enhance our payment acceptance solutions and enable us to deliver a seamless and robust omnichannel experience across our combined footprint and a full spectrum of merchant customer. We have identified opportunities to cross-sell existing Worldpay solutions, including fraud and prime routing as well as our global payments loyalty data and analytics and other commerce enablement solutions across our combined 5 million merchant customer base. In addition to serving the digital needs of enterprise customers, including best-in-class authorization capabilities, a premier FX platform, prudential management solutions, fraud offerings and leading payout solutions supporting over 100 currencies, stable coins and a robust and rapidly growing list of alternative payment methods, we intend to bring Worldpay's e-com capabilities down market to further differentiate our offering for SMB clients. We also see tremendous potential for geographic expansion as a combined company, targeting new secular growth markets. In particular, we could not be more excited to bring robust local distribution, functionality and service to complement Worldpay's leading digital offerings across the 40 markets where we have a physical presence today. We are also focused on innovation in new businesses we can grow as a combined company. One such example is in B2B, where both companies possess a variety of assets and capabilities we feel we can better harness and invest in to accelerate our growth in a market where we've been historically underpenetrated. And we will enable all of this by accelerating investment more broadly across the business to further differentiate and putting more than $1 billion annually in high-priority areas supporting our growth. Together, we will be better positioned than ever to deliver the next generation of capabilities from point of sale in software and integrated and embedded payments to advanced commerce enablement and omnichannel solutions for merchants of all sizes globally. Lastly, we will ensure that collectively, we continue to meet the highest compliance and regulatory standards globally which we believe will increasingly be a point of differentiation in the future. Josh?
Joshua J. Whipple: Thanks, Cameron, and good morning. We're pleased to have reported another solid quarter, highlighted by consistent revenue growth, healthy margin expansion and strong adjusted free cash flow generation. Specifically, we delivered adjusted net revenue of $2.36 billion, an increase of 5% on a constant currency basis, excluding dispositions. Adjusted operating margin for the quarter increased 130 basis points to 44.6%. This translates to 110 basis points of expansion, excluding dispositions. The net result was adjusted earnings per share of $3.10, an increase of 11% on a reported and constant currency basis. Our adjusted net revenue performance was consistent with our expectations, while adjusted operating margin and EPS came in slightly ahead, driven by strong execution on our refocused strategy and transformation initiatives. Taking a closer look at performance by segment. Merchant Solutions achieved adjusted net revenue of $1.83 billion for the second quarter, reflecting growth of approximately 5.5%, excluding dispositions, which was in line with our expectations. Both our POS and software and our integrated embedded businesses grew in the high single digits range, excluding dispositions. We saw strong growth in new POS locations during the quarter and notably saw demand accelerate following the launch of our Genius Restaurant and retail solutions in May and June, respectively. Additionally, we added 85 new ISV partners during the second quarter with strength in international markets as we continue to extend our offerings to new regions. Our core payments business delivered growth at the high end of low single digits for the second quarter with several international businesses notable bright spots. Specifically, Central Europe, LatAm and Asia Pacific all achieved high single-digit or greater growth as we continue to benefit from the strong secular payment trends in these markets. We delivered an adjusted operating margin of 50.1% in the Merchant segment, an increase of 130 basis points compared to the prior year or 90 basis points, excluding dispositions. Our Issuer Solutions business produced adjusted net revenue of $547 million for the second quarter, reflecting growth of approximately 3.5% on a constant currency basis. This performance marks an improvement from where we exited the first quarter, largely driven by an increase in accounts on file and overall stable transaction volume trends. We've added a total of 15 million traditional accounts on file year-to-date, driven by new implementations and growth with existing customers as our strategy of aligning with market share winners continues to drive benefits. We have 6 more implementations we expect to complete over the balance of the year and our implementation pipeline and the completion of our renewal cycle with many of our large customers gives us confidence in our outlook for improved growth in this business in the second half. Issuer Solutions delivered an adjusted operating margin of 48.7%, which is a 190 basis point improvement from the prior year. From a cash flow standpoint, we produced strong adjusted free cash flow for the quarter of approximately $800 million, representing a conversion rate of adjusted net income to adjusted free cash flow of approximately 110%. This translates to a roughly 95% conversion rate year-to-date. We invested approximately $150 million in capital expenditures during the quarter and expect capital expenditures to be roughly $750 million in 2025 or approximately 8% of revenue. We executed share repurchases of approximately $230 million in the quarter and more than $690 million during the first half of 2025. Our net leverage position was 3.15x at the end of the second quarter. Our balance sheet remains extremely healthy, and we ended the period with approximately $3 billion of available liquidity. Our total indebtedness is 95% fixed with a weighted average cost of debt of 3.5%. Turning to our outlook for the full year 2025. We continue to expect constant currency adjusted net revenue growth of 5% to 6% over 2024, excluding dispositions. We still anticipate dispositions will impact reported adjusted net revenue by over 300 basis points, which does not account for the sale of payroll as we've not yet closed that transaction. We'll provide an update on this impact at close. We now expect the headwind from foreign currency exchange rates to be approximately 50 basis points for the full year compared to the 125 basis point impact we guided to previously, given the weakening of the U.S. dollar that we have seen in the first part of the year. That said, foreign currency exchange rates remain quite volatile given trade uncertainties. We now expect annual adjusted operating margin to expand slightly more than 50 basis points for 2025, excluding the effect of dispositions due to the progress we are making with our transformation agenda. At the segment level, we still expect our merchant business to deliver adjusted net revenue growth of roughly 6% on a constant currency basis, excluding dispositions for the full year. However, we now expect adjusted operating margin expansion for this business to be slightly above 50 basis points, excluding dispositions in 2025. Moving to Issuer Solutions. We continue to anticipate adjusted net revenue growth in roughly 4% range on a constant currency basis for the full year compared to 2024. And we now expect adjusted operating margin for the Issuer Business to also expand by slightly more than 50 basis points in 2025. We continue to anticipate adjusted free cash flow conversion will be greater than 90% for the full year, and we still expect to be approximately 3x net levered at the end of 2025. Putting it all together, we remain confident in the trajectory of the business for the remainder of the year and now expect adjusted earnings per share growth to be at the high end of the 10% to 11% range for the full year on a constant currency basis. Regarding capital allocation, today, we are entering into a $500 million accelerated share repurchase program in connection with the payroll divestiture, which we expect to close this quarter. Further, we expect tax provisions included within the recently passed One Big Beautiful Bill Act to modestly improve our cash flow generation going forward and allow us to increase our capital returns to shareholders to a total of $7.5 billion between 2025 and 2027, exactly consistent with the capital allocation plan we outlined at our investor conference last September before the announcement of the Worldpay transaction. It's important to note that any repurchase activity related to divestitures, including the ASR announced today, is incremental to the $7.5 billion of capital returns we committed to over this 3-year period. Finally, given the significant progress we've made regarding our transformation, we are now pleased to be able to raise our annual run rate operating income benefit for the go-forward business to $650 million. This increase translates to $100 million more in benefits in our go-forward business compared to our prior estimate and also reflects the elimination of run rate benefits related to Issuer Solutions, which represented roughly 10% of the overall transformation benefits previously outlined. We continue to be pleased with the significant progress we've made with our transformation efforts, which will allow us to accelerate the integration of Worldpay post close. And with that, I'll turn the call back over to Cameron.
Cameron M. Bready: Thanks, Josh. At our investor conference last September, we talked in great detail about our intention to become a more focused organization, recognizing that we can unlock substantially more value in our business through greater clarity of purpose. To accomplish this, we have reoriented our business under a single unified operating model and launched a significant operational transformation program, driving meaningful efficiencies and operating income benefits, which we now expect to total $650 million in annual run rate operating income benefit for our merchant business and support functions once complete. We also reviewed our portfolio and identified assets for potential divestiture or exit in order to better focus our energy and investments on the most attractive opportunities where we can differentiate in the market. As I highlighted earlier, we have now exited or announced transactions to divest over $550 million of revenue, consistent with what we outlined at the time of our investor conference. Including the payroll divestiture, these portfolio efforts will have allowed us to opportunistically return $1.2 billion to shareholders in less than 12 months. And we are reevaluating the portfolio composition in light of the Worldpay acquisition and remain committed to using proceeds from any additional business exits to return capital to shareholders. And further, we now expect to return $7.5 billion in capital, excluding returns associated with dispositions to our shareholders over the 2025 to 2027 period, consistent with what we outlined at our investor conference last year. And as a result of Worldpay and Issuer Transactions, by 2028, our annual run rate levered free cash flow and total capital return expectations will be nearly 50% higher than they would have been previously, providing us with greater flexibility to invest in growth and return meaningfully more capital to shareholders. We have even greater conviction today than we did when we announced the Worldpay acquisition about the potential to enhance our competitive strengths, open new opportunities and accelerate our growth trajectory while maximizing value creation and amplifying our capital return expectations. And by diversifying our business across an SMB to enterprise customer base with millions of merchant customers and thousands of platform and software partners, extending our global reach and expanding our comprehensive capabilities spanning physical card-present environments to global e-commerce, we're building a more focused, stronger and more durable model for the long run. Winnie?
Winnie Smith: Thanks, Cameron. [Operator Instructions] Operator, we will now go to questions.
Operator: [Operator Instructions] And our first question will come from Dave Koning with Baird.
David John Koning: Great momentum. And I guess, first of all, just to kind of understand the sequential pattern through the year now with merchant, it sounds like you have pretty good momentum. Should we expect pretty normal seasonal patterns in Q3 and Q4? And then maybe layer in there, when should we take out payroll? Is that about $60 million a quarter? Just kind of want to understand the momentum of normalized sequential growth.
Joshua J. Whipple: Yes. Thanks, David. It's Josh. So as we've talked about before, the first half of the year, we expected growth for merchant to be in approximately that 5.5% range. And in Q3, Q4, we expect to see some acceleration as the transformation benefits start to go ahead and flow through with Genius. We announced that and we launched that in the May time frame at the National Restaurant Association and then retail the following month. So we expect that to go ahead and contribute to the slightly above that 6% range in the back half of the year and get you to approximately 6% from an overall guide perspective where we placed our guide. And then as it relates to overall payroll, we expect to close that at the end of the third quarter, and that's about $65 million approximately from an overall revenue perspective per quarter that you can factor into it.
David John Koning: Yes. Great. And one other just follow-up. Just what's really encouraging, I think you talked about 289 million shares at close. I think you ended the quarter at 243 million, and I know you're adding another 43 million with the purchase, but then taking out maybe 6 million for the payroll ASR, you're going to be down to 280 million on my math, well below the 289 million you guided to. Am I kind of on the right track there? And then should we expect some incremental buybacks even through the rest of the year?
Joshua J. Whipple: Yes, that's approximately -- I think you're right around that general area. And so look, year-to-date, we bought back approximately $690 million worth of shares. And then we have the $500 million ASR, which you can expect that we'll buy back once we go ahead and close the transaction with payroll.
Cameron M. Bready: And Dave, it's Cameron. Just to your last point, we commented on the call that the One Big Beautiful Bill Act obviously has tax provisions that improve our cash flows. That's how we're able to increase our overall expectation for share repurchases and capital returns over the 2025 to 2027 range to that $7.5 billion number, we expect roughly an incremental $0.5 billion of cash flow benefits coming from the One Big Beautiful Bill Act. So as it relates to the balance of the year, it also gives us a little bit of flexibility in 2025 to consider additional share repurchases or more leverage paydown to make sure that the balance sheet is in a very healthy place when we get to the close of the Worldpay transaction while continuing to remain committed to returning as much capital to shareholders as possible, assuming the balance sheet is in a good place.
Joshua J. Whipple: Yes, the only thing I'd just reiterate is that we're very focused on getting back to that 3x leverage point by the end of the year, as Cameron mentioned. So with the payroll divestiture, we'll also remain -- keep leverage neutrality with that and then use the excess proceeds to buy back shares.
Operator: Our next question will come from Dan Perlin with RBC Capital Markets.
Daniel Rock Perlin: I wanted to just circle back on the commentary around additional divestitures and make sure we're kind of aligning ourselves. So obviously, you kind of hit the target that you originally planned. You've got Worldpay now contemplated, so that changes the dynamics a little bit here. So are you thinking that there's other businesses specifically or geographies or maybe it's both? But I'm just trying to think as we attempt to identify maybe who those or what those businesses or geos are going to be, just which ones maybe wouldn't align with the Worldpay strategy and you want to get -- you want to basically monetize near term?
Cameron M. Bready: Yes. Thanks, Dan. It's Cameron. It's -- look, it's a fair question. And not surprisingly, my answer is going to be, I can't give you a lot more detail than what we've already shared. I want to protect the integrity of any process that we may look to run and around particular assets that we may choose to divest. So I think the main point is when we made our decisions previously and came up with the conclusions that resulted in the actions that we've taken thus far, having hit the target that we laid out at the September investor conference, that was obviously in advance of even thinking about Worldpay as an opportunity. As we think about where we're trying to drive the business long term, we think about the scale scope of the combined business. We also think about vertical market sort of exposure given their partner base, our partner base, the combined business, we are just going back and kind of refreshing our thinking around the portfolio composition. And we are assessing whether any of the decisions we made prior to our September investor conference, we would take a different view of now in light of where the business is going. So more to come as we take specific actions, but I think it's fair to say that there probably are some incremental things we would choose to do in light of the Worldpay transaction. And consistent with our path thus far, to the extent that we're successful in exiting any other assets, we would use that capital return to shareholders, again, assuming that we're able to achieve leverage neutrality through the transaction.
Daniel Rock Perlin: That's great. Just a quick follow-up on the Genius brand consolidation. I know when you had originally contemplated putting these things together, there was concerns that there might be some portfolio attrition or some noise in the book. It doesn't sound like that's kind of manifesting, but I would just be interested to hear if there is any friction at least near term, but it sounds like the kind of run rate go forward is certainly more than enough to offset any of that.
Cameron M. Bready: Yes. It's a good question, and maybe I'll ask Bob to give a little more detail because he's closer to it, obviously, than I am every day. I would not say I don't think we've seen sort of attrition in the base per se, and that's not something that we're overly concerned about as it relates to the Genius rollout. We did see a little bit of pause in the buying behavior as people knew the new platform was coming. And obviously, we saw a little bit of pause kind of leading up to the official launch in May for restaurant and June for retail. But obviously, as we commented in our script this morning, we've seen very good momentum from a new sales perspective once those launches materialized in the time frame that we had outlined. So not surprisingly, buyers were kind of waiting for the new platform, and we did see a little bit of that behavior. But as it relates to the underlying base, I don't think we've seen much from that perspective that is warrant to us. Bob?
Robert M. Cortopassi: Yes. I think it's important to understand that in small business services, in particular, the biggest driver of attrition isn't defection to another product or service. Frankly, it's business failure, and that's the largest driver of attrition for us as well as for the industry more broadly. I think the trends that we see, to Cameron's point, are consistent with what we've seen historically. And we do feel really good about not only being able to grow through attrition, which we've done over the course of time, but also to accelerate that growth in meaningful ways. Also, a lot of the greenfield for Genius are in markets that we don't have significant POS penetration today. We may have significant payments penetration, but many of our POS solutions were regional, certainly a higher concentration in the U.S. and Canadian markets than when you get into Latin America, Europe and Asia Pacific. So the growth is not only coming out of our existing kind of mature POS markets, but also greenfield opportunities for us. And we think there's a real opportunity to get there in a way that maybe is tougher for competitors given the scale and scope of our distribution, our service capabilities worldwide.
Operator: Our next question will come from Dan Dolev with Mizuho.
Dan Dolev: Excellent results here, looking really good. Great job. It sounds like -- it looks like the Genius going back to the Genius rollout, it looks like it's on a really good trajectory. Cameron, can you maybe talk about the confidence in the acceleration in the second half, like some of the puts and takes in exiting at 6% to 7% and maybe some comments on sort of recent trends? And then I have a very quick follow-up.
Cameron M. Bready: Yes. Maybe I'll start, sorry, and then I'll ask Bob to comment on the recent trends just as it relates maybe to the second part of your question. I think, look, we have a lot of confidence in the outlook that we provided today for the back half of the year. As Josh highlighted, we do expect the growth in the Merchant business to be slightly above 6% in the back half of the year with a good exit rate as we head into 2027. A lot of that confidence is bolstered by, one, the early success we've seen with Genius which we commented on the call. And then two, I think the successful execution of our conversion of our sales force in the U.S. to our new sales compensation model as part of our salesperson of the future program. So with that behind us, we feel good about the momentum we're building from a commercial go-to-market perspective. And obviously, we think that positions us well as we get to the back half of the year. I would say, like anything else, there's a lot of change that we're driving to the business. We tried to be upfront and transparent about that. And not everything is going perfectly. But I think overall, I'm really proud of our team's ability to balance execution and delivering of business outcomes, particularly our financial performance with driving the magnitude of positive change that we're trying to put through the organization as we prepare for the closing of Worldpay and the integration program that will begin on the heels of that. So I think we're in a really good place from an execution standpoint, could not be more proud of the team and the way that they're embracing the change we're driving. But it's a lot, and I think we're doing it well, but it's something we're very cautious about as we head into the balance of the year, just making sure we continue to get that balance right. Bob, do you want to talk about Genius more specifically?
Robert M. Cortopassi: Yes. I think we've got a lot of confidence both on the subjective side as well as the objective side. The reception that Genius had both on the retail side as well as on the restaurant side from all of our distribution partners, that would include our direct sales team, our FI partners, our POS software dealers, both domestically and internationally, has been really very encouraging. And look, we recognize that as a market share matter, we're playing a little bit of catch-up in some of these areas, but our teams feel really confident about the strength of solutions, the quality of the new bespoke hardware, the modular architecture that's been developed with our OEM partners and our distribution plans, including the pipeline in each one of those distribution channels. On the objective side, a couple of quick metrics that might be interesting. Our U.S. direct sales team is up something close to 30% just in this quarter, if you look at it on a sequential basis. Our dealer channel has been reinvigorated in ways that we haven't seen in a number of quarters, not only with the success of their sales in period, but the momentum in the pipeline that they're building. Our wholesale partners, many of them in the FI space have been craving these sorts of technology solutions to complement their stack of banking, finance, treasury, other sorts of solutions and they're all very excited as well. You didn't ask about it, but talking about sales transformation relative to POS, we mentioned that we were retooling the sales team. It wasn't just a comp plan change. We were upskilling, we were retraining. Every one of our direct sellers has to go through a certification program before we unlock POS sales to them. That demonstrates that they understand the products, they understand the value proposition, they can provide the level of service to customers and prospective customers that we expect. And we've already done that with about 20% of the sales force so far. So I would say we feel really good about the addressable market, about the receptivity, about the competitiveness of the offerings. We feel very confident about both the excitement and energy as well as the early execution that we're seeing in distribution channels. And that gives us a lot of confidence as we get into the back of the year and think about the synergy opportunities that we have on the other side of closing Worldpay.
Dan Dolev: And I have a very quick follow-up here. We're getting a lot of questions this morning from investors. Can you maybe clarify the capital allocation drivers? It looks like there's a lot of incremental here, which is additive to everything you've said in the past, which looks really good. But can you maybe clarify sort of all the incrementals and how you view capital allocations through '27, that would be great. And again, great results.
Cameron M. Bready: Yes, Dan, I'm happy to cover that. Let me hit it, and I'll ask Josh if he wants to add any more color to it. I want to be just very clear because I know it can get a little bit confusing. So today, we announced a $500 million ASR. That's tied to the sale of our payroll business. As we've always said, any dispositions of assets, we would return capital to shareholders, assuming leverage neutrality. That would be incremental to what we would view as kind of our normal run rate capital returns to shareholders. So let's park that to one side. We also increased our outlook for capital returns, excluding capital returns associated with dispositions to $7.5 billion this quarter as well, which again is up from where we were when we announced the Worldpay transaction where we said that number would be $7 billion. That incremental $0.5 billion is largely associated with benefits that we expect to see from the One Big Beautiful Bill Act that was enacted a month or so ago that gives us incremental tax benefits and cash improvement over the 3-year horizon, which allows us to raise our total expectation for normal kind of run rate capital returns to shareholders to that $7.5 billion number, which, again, is exactly consistent with what we were targeting at our investor conference last September. So as we step back and look at the landscape, thus far, we've returned $1.2 billion through asset dispositions to shareholders. We're targeting an incremental $7.5 billion of capital returns to shareholders over the '25 to '27 time frame. And executing the Worldpay transaction positions us by the time we get to 2028 with roughly 50% more levered free cash flow and capacity to return capital to shareholders as we get to that time frame. So in terms of how we're positioned from a capital allocation perspective, we couldn't be more pleased with where we are. We're delivering on exactly what we said we would do at the investor conference while also doing the Worldpay acquisition and issuer divestiture and positioning the business for better more and more capital flexibility and capacity to return incremental amounts in the future.
Operator: Our next question will come from Darrin Peller with Wolfe Research.
Darrin David Peller: I just want to touch on the sales force realignment again and then a quick follow-up on the financial side, I'll ask after. But really quickly on the sales force, it sounds like -- I think you said 90% of core payment sellers have now converted to the new plan, and there's been a lot more productivity as we just heard from Bob as well. And so maybe just help us understand exactly where you are now in terms of what needs to be done between now? Are you really almost done already? Is it actually almost at full run rate of where you want it to be? Because obviously, that was a question that investors had of whether or not there's going to be disruption around that. And it sounds like it's coming along pretty well. And then just quickly also on Genius, what percent of your total merchant portfolio actually is addressed by the newer POS potential?
Robert M. Cortopassi: Darrin, it's Bob. Let me jump in on the sales transformation. So it's important to understand that we view the sales transformation holistically, but it's really built of multiple individual initiatives. The first one that's gotten kind of the most conversation to date has been around the compensation plan changes, and that's 100% complete. The 90% comment that Cameron made in his prepared remarks really has to do with the retention of sales talent through that transition. I think there was the reality that we acknowledge not every seller was going to come along on that journey with us, part related to comp and part related to new expectations and all the rest of that. So roughly 10% or so of the sales force turned over as part of that exercise that we embarked upon. Some of those, as Cameron mentioned, converted to other ways of continuing our relationship with Global Payments. They're no longer full-time employees on our sales team, but they've converted to an agent program or more of a wholesale program. So all of that 10% in terms of productivity is not lost. It switched from direct to more indirect distribution. The second thing is that the comp plan was really designed to do two primary things. One was to drive the right sort of behavior as we seek to distribute comprehensive bundled solutions, not point solutions. And so the comp plan directly incents bundled selling where the unit economics can be really disparate. But there's a lot of value to the client as well as the Global Payments and having them adopt more holistic solutions. So the comp plan is structured to do that. The second thing it was really targeted to do, frankly, was to increase our ability to recruit and retain high-caliber sales talent. When we began the journey, the comp plan that the sales team was on was called 94 comp. And that wasn't a catchy code name that referred to the year that the 94 comp plan was rolled out. And now 30 years later, the needs of the market, the expectations of the sales team, our go-to-market motions, those have all evolved. And so an ability to attract top talent to have them be successful in early days and want to stay with Global Payments as they build a successful career, that was a core component of that. And on both of those fronts, the bundled selling, the seller productivity as well as our ability to recruit and retain talent, we're seeing the benefits that we expected from that on all fronts.
Cameron M. Bready: And Dan, the only thing -- sorry, the only thing I would add to that is, one, I don't think we're at run rate today. We finished the conversion in the second quarter. There's still some ramp that's obviously occurring as people, one, get used to the new plan. We continue to roll out training and certifications, as Bob highlighted earlier. So there is still more work to do, I think, to ramp the productivity levels of the sales force under the new model to the levels that we like to see. But obviously, the early signs are, I think, quite effective on that front. The second thing I would say in response to the back part of your question, I really view it in two ways. One, yes, we have an embedded book of customers today using our " I hate to use this term legacy sort of point-of-sale solutions." Naturally, that is a target for us to be able to convert them to our new cloud-based Genius offering over time. That's not a huge population of the portfolio today. We also have a number of restaurant and retail clients in our portfolio today that are using some other point-of-sale environment, whether it's legacy or perhaps even newer, where we're providing the payment solutions for them, but not the point of sale. Obviously, that creates an incremental opportunity for us to pursue. But the more important opportunity is obviously the front book. There's still a substantial portion of the market in the U.S. and even more so internationally that ultimately will convert to cloud-based restaurant and modern sort of retail point-of-sale platforms over time. We're very focused on making sure that we're highly competitive for that front book offering and ensuring that net new wins are tied to our point-of-sale offering. We all know that the mode of competition in restaurant and retail for payments is through the point of sale and having our Genius platform, which is a highly competitive solution in the marketplace, gives us a lot of confidence around our ability to win more front book opportunity going forward. And of course, as Bob highlighted well, the international opportunity is something we're particularly excited about because the competitive intensity in the international markets is certainly less than it is here in the U.S. And obviously, we're well positioned as a scale, distribution and capability in those markets to be able to, I think, get a lot of traction with Genius as we roll it out over the balance of '25 and into '26 as we commented on in our prepared remarks.
Darrin David Peller: That's great to hear, guys. Josh, just a quick financial question. The inorganic contribution, putting aside divestitures, but the M&A contribution from, I think, take payments, but was there anything else also? I think we just looked at the cash flow and it looked like about $150 million of inorganic. So I'm just curious if that's about right? And what was that from?
Joshua J. Whipple: Yes. So yes, thanks, Darrin. So a couple of things. I'd say the first were the two small product companies that Cameron mentioned in his prepared remarks, that was about half of what you see there in the cash flow. And then the other half was deferred consideration and from a prior acquisition and investment in venture partners fund that we invest in periodically.
Cameron M. Bready: Yes, Darrin, it's Cameron. The contribution ex take payments is de minimis. So take payments anniversary earlier in the quarter. So that is -- that's really the only thing notable, I would say, in Q2. For the balance of the year, we commented that we did two small product deals that Josh just noted. We closed those around the end of the quarter. Those contributed a relatively de minimis amount for the balance of the year. So it's really organic.
Operator: Our next question will come from Ken Suchoski with Autonomous Research.
Kenneth Christopher Suchoski: I'll ask one since it's getting late here. Maybe you could talk about scaling Genius in some of these international markets. I mean, how do you bring the brand into these markets? Do you have to sort of partner on that side on the distribution side? And any comments regarding the reinvestment required to stand up Genius in these markets just because it feels like a bit of a land grab right now. So I'm curious how that's -- how you're thinking about that.
Robert M. Cortopassi: Yes, Ken, it's Bob again. So I think first and foremost, it doesn't require incremental distribution partnerships to bring Genius into those markets. So we're not thinking about -- at least not today, we're not thinking about brand-new markets de novo that Global Payments doesn't already have a presence. So we're really thinking about our established businesses across U.K. and Ireland, Continental Europe, Asia Pacific, Latin America, the places that we've already got distribution and business at scale today. As you probably already know, some of those are through partnerships, whether they're joint ventures, whether they're bank referral partnerships. But in all of those geographies, kind of regardless of the construct, we also have direct sales teams. We have digital customer acquisition capabilities. And those combination of distribution modes, whether it's our direct sales force, our direct digital customer acquisition or partnerships, referral partnerships, joint ventures, other sorts of things, all of those are vehicles through which we can deploy and distribute Genius. The great news, I think, is that the core components of Genius, as we mentioned before, part of the strategy around Genius was consolidating and collapsing the 16 different POSs we had into a common retail and restaurant platform. And we've already experienced success with less feature-rich and less fully integrated versions of the Genius stack in those markets. So we don't have any question. There's not a lot of speculative research around the receptivity of the market or the fit-for-purpose nature of the product capabilities. We feel really confident about that. In fact, really every one of our business leaders internationally is chomping at the bit to be able to go full speed ahead with Genius, whether that's the mobile, the tap on mobile capabilities that Cameron mentioned in the soft pause commentary in his script or the full Genius retail and restaurant stack, whether that's for shops or for enterprise, all of those are getting a lot of early pipeline build and the rollout pace is pretty rapid, largely because much of the architecture underneath Genius was built to be international from the start. So we don't have to re-architect the solution in every market. It's easy to add multilingual capabilities to adopt to multiple currencies to deal with the fiscalization requirements in each of those geographies. There is a lift, no doubt. You've got to do fiscalization work, you've got to do some language work, but it's not a large rearchitecting of the platform. It's really kind of incremental to the regular way product road map. We continue to look for ways to accelerate that, but we feel really good about the aggressive pace that we're taking that to market in Europe, into Latin America and the other regions that Cameron mentioned in his prepared remarks.
Cameron M. Bready: And Ken, the only thing I would add, we're a well-recognized brand in these markets already, either Global Payments or the joint venture that we might be running with a partner in these markets. So we have good brand recognition, and I think we have the trust of the market to be able to bring Genius to that market, scale it effectively, push it through our distribution. And to your point, capture as much of the land as possible in markets, again, where the competitive intensity, I think, is less significant than it is here in the U.S. around point of sale. So we talked about the international quite a bit, largely because we think it's such an attractive opportunity and a little bit of a distinct element of our story versus some of our peers who also bring point-of-sale capabilities to market.
Operator: Our last question will come from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Quickly dig into the answer that you gave. I think to Darrin's question on the initial momentum behind Genius. Is it coming more from net new versus converting existing customers? Just wanted to clarify that. And then also on the issuer side, you mentioned, I know on the merchant front, some pause in decision-making in front of the Genius launch. Any similar behavior on the issuer side for prospects? And I presume implementations and backlogs and things like that are still on time? Sorry for all the questions. I just want to be efficient.
Cameron M. Bready: No, no, no, no problem, Tien-Tsin. So I'll hit them, and I'll ask Bob to jump in with any commentary as well. I think on the Genius side, it's really front book, new opportunity. That's where our focus is right now. Obviously, if we have a client who is ready to make a transition from one of our existing point-of-sale environments to Genius, we're going to pursue that and create easy pathways for them to be able to make that conversion without having to think about a different solution. That's clearly front and center for us. But a lot of the emphasis that we're talking about today is on the front book opportunity and our ability to win net new clients by virtue of bringing Genius to market and pushing it through the distribution platforms as we've commented on, I think, pretty extensively today. Over time, we'll continue to work the back book. We'll create pathways for existing clients. We have that relationship. We've talked about that multiple times, I think, over the course of several calls now. We think we have the right to earn their business when they're ready to make a transition to a new cloud-native environment. We have a good relationship with them today. They like the product that they're using with us. We're serving those clients well, and we think we'll obviously be able to convert them as they're ready to do that. But we're very focused on building net new customers and using Genius as a means by which to win more front book opportunity domestically here in the U.S. and internationally as well. I think as it relates to issuer, just switching gears, everything very much remains on track for the business to deliver on sort of the expectations that we had for the full year. And as we head into 2026, we think the business is well positioned for the future. Modernization continues on the right path. As we've talked about, we will be complete with all the customer-facing applications, and those will be ready for general availability by the end of the year. And we're obviously on track with the implementations that we're doing. We talked about 15 million cards in the first half. I think we have 6 that we're still completing for the balance of the year. We have 4 LOIs in place. And I think where we've seen good momentum in the issuer business is around cross-selling of products. I think our teams have done a really nice job getting better penetration with our existing client base around incremental product, which obviously positions the business well for future growth potential also. So everything with the issuer business on track with the expectations we have as we prepare for closing of that transaction and the divestiture to FIS, the business continues to be in a healthy place.
Robert M. Cortopassi: Tien, the only thing I'd add to what Cameron already said accurately depicting how we think about the back book in our POS and software space. There are a lot of cross-sell opportunities that the team is working of our existing payments customers who are excited to take Genius. They may be using a legacy solution from another provider, a competitor. But that part of the customer base is also excited about Genius, and we are getting traction there. We feel real good about that as well as the front book opportunities. But to Cameron's point, the kind of legacy POS conversions, we're here when they're ready, but we're not putting a gun to anybody's head. We're not forcing conversions. We're not doing anything unnatural around that other than continuing the relationship and being prepared when our customers are.
Cameron M. Bready: And with that, that concludes our Q2 2025 earnings call. Thank you very much for joining us this morning, and thanks for your interest in Global Payments. Have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's program, and we appreciate your participation. You may disconnect at any time.